Operator: Good day, and welcome to the Clipper Realty Quarterly Earnings Call. At this time, all participants have been placed on a listen-only mode and the floor will be opened for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Lawrence Sava, Corporate Controller. Sir, the floor is yours.
Lawrence Sava: Thanks, John. Good afternoon, and thank you for joining us for the fourth quarter 2024 Clipper Realty Inc. earnings conference call. Participating with me on today's call are David Bistricer, Co-Chairman of the Board and Chief Executive Officer; and J.J. Bistricer, Chief Operating Officer. Please be aware that statements made during the call that are not historical may be deemed forward-looking statements, and actual results may differ materially from those indicated by such forward-looking statements. These statements are subject to numerous risks and uncertainties, including those disclosed in the company's 2024 annual report on Form 10-K, which is accessible at www.sec.gov and on our website. As a reminder, the forward-looking statements speak only as of the date of this call, February 18, 2025, and the company undertakes no duty to update them. During this call, management may refer to certain non-GAAP financial measures, including adjusted funds from operations, or AFFO; adjusted earnings before interest, taxes, depreciation and amortization or adjusted EBITDA; and net operating income, or NOI. Please see our press release, supplemental financial information and Form 10-K posted last Friday for a reconciliation of these non-GAAP financial measures with the most directly comparable GAAP financial measures. With that, I will now turn the call over to our Co-Chairman and CEO, David Bistricer.
David Bistricer: Thank you, Lawrence. Good afternoon, and welcome to the fourth quarter 2024 earnings call for Clipper Realty. I will provide an update to our business performance and some developments, after which J.J. will discuss property level activity, including leasing performance and Lawrence will speak to our quarterly financial performance. We will then take your questions. I am pleased to report that we are reporting record operating results once again, including record revenue, net operating income and AFFO based on our excellent residential activity. Rental demand continues to be strong at all our properties. Overall rents are generally at all-time highs and continue to increase, and we are nearly fully leased. In the fourth quarter, new leases exceeded prior rents by over 7% across the entire portfolio, led by the Tribeca House in Manhattan and Clover House in Brooklyn, where new leases were $90 and $94 per foot. Overall rent levels were $83 and $86 per foot. Results at our stabilized rental property, Flatbush Gardens are also strong and improving. New leases in Q4 were $34 per foot, exceeding the prior leases by almost 13% and average rents across the entire portfolio were $30 per foot. We are aggressively fulfilling our commitments by property improvements, tenant assistance, higher wages supported by full abatement of real estate taxes and enhanced rental recoveries for assisted tenants under the 40-year abatement under the Article 11 of the Private Housing Finance Law with New York City Housing and Preservation Department that began July 2023. Operationally, we are very pleased with our new ground-up development projects, Pacific House at 1010 Pacific Street after a year of full operation is fully stabilized and contributing to cash flow. It is now 100% leased and yielding the project 7% cap rate. At nearby 953 Dean Street, ground-up development construction is proceeding, and we're nearing completion. We will begin leasing in the coming months in line with the 2025 leasing season. We bought the land in 2021 and 2022 on which to build a nine story fully amenitized residential building with 160,000 residential rentable square feet, 240 units, 70% pre-market, 30% affordable, 57 parking spaces and 19,000 commercial rental feet. At our 250 Livingston property, where, as previously disclosed New York City has notified us their intention to vacate in August of 2025. We are seeking solutions and pursuing opportunities supported by cash flows from our other properties. We will keep you informed of our progress regularly. At the other New York City property in 141 Livingston Street, we are finalizing a five year extension to our current lease that expires December 2025. As to the continued high interest rate environment, we believe the higher rates make for higher tenant demand for our rental product. We are buttressed by the relatively long duration of our debt at our operating properties. Our operating debt is 91% fixed at an average rate of 3.87%. Average duration of 4.3 years, nonrecourse, subject to limited standard carve-outs is not cross-collateralized. We finance our portfolio on an asset-by-asset basis. Regarding our fourth quarter results, we are reporting record quarterly revenue of $38 million, NOI of $22.5 million, AFFO of $8.1 million as a result of the strong leasing and cost reduction I mentioned. These results represent improvements over the fourth quarter last year, as J.J. and Lawrence will further detail. I will now turn the call over to J.J., who will provide an update on operations.
Jacob Bistricer: Thank you. I'm pleased to report that our residential leasing at all our properties is very strong and continues to improve. At the end of the fourth quarter, our residential properties were 99% leased and rents were at record levels and still recording increases over previous levels. Overall, new lease and renewal rental rates in the fourth quarter exceeded previous rents by over 7% and 4.9% at our residential properties. We expect leasing to remain strong in the foreseeable future as demand remains high and the overall rental housing supply remains constrained as widely publicized. As of the end of December, Tribeca House had leased occupancy of over 99%, rent per square foot over $82 and new rents at $90 per square foot. The Clover House property had leased occupancy of 98%, average rents of $86 per foot and new leases of $94 per foot. Our recently completed Pacific House property consisting of a blend of pre-market and rent-stabilized tenants had leased occupancy of 98%, pre-market rents of $70 per square foot on new leases. This property is now fully stabilized with operating cash flows achieving the projected 7% cap rate in the original underwriting. Our other residential properties at 10 West 65th Street, Aspen and 250 Livingston Street continued to perform at record levels with average lease occupancy above 98% and new rents and renewals 4% higher compared to previous leases. Lastly, at the large Flatbush Gardens property, we continue to be pleased with our performance operating under the new Article 11 agreement made with the Housing Preservation Department of New York City on June 29 last year. Using the full abatement of real estate taxes beginning last July, we are completing the capital projects we committed, aggressively dealing with maintenance issues and placing formerly homeless residents. We have begun to meaningfully obtain the enhanced reimbursements on the Section 610 of the Private Housing Finance Law for tenants receiving assistance as we fill vacancies with formerly homeless residents and renew leases with assisted tenants. These benefits have amounted to $1.1 million in the current period and nearly $2.3 million so far this year, and should steadily increase over the next couple of years and facilitate profitable improvements to the property. We are also getting increases for non-assisted tenants where increases have been permitted under the Rent Guidelines Board for the last couple of years. As a result, together with the Section 610 benefits for assisted tenants, overall average rents for the property have risen to $30 per square foot at the end of the quarter versus $26.69 at the end of the fourth quarter last year, and new leases in the fourth quarter were $35 per square foot, exceeding the prior leases by 13%. Rent collections across our portfolio remains strong. The overall collection rate in the fourth quarter on all residential properties was 97%. Collections at Flatbush Gardens, which had been at historically high 96% levels for the first half of 2024 without the benefit of the ERAP payments as in prior years have eased to 88% and 92% in the last two quarters as we work with New York City on collection procedures for assisted tenants. Additionally, we are responsibly and steadily working through the court system to minimize arrears. Looking ahead, we remain focused on optimizing occupancy, pricing and expenses across the business, expeditiously completing our development projects, and fully implementing the Article 11 transaction to the best -- to best position ourselves for growth. I will now turn the call over to Lawrence, who will discuss our financial results.
Lawrence Kreider: Thank you, J.J. For the fourth quarter, we achieved record results in three measures important to us. Revenues increased to $38 million from $34.9 million last year, an increase of $3.1 million or 9.1%; NOI increased to $22.5 million from $20 million last year, an increase of $2.5 million or 12.5%; and AFFO increased to $8.1 million from $6.3 million, an increase of $1.8 million or 29%. For the fourth quarter, residential revenue increased to $28.2 million by $2.9 million. This increase was due to strong leasing for all properties as previously discussed. Occupancy and rental rates were at all-time highs in the quarter. We further benefited in the quarter from $1.1 million of Section 610 rents, which is now beginning to meaningfully contribute, and which we expect to increase steadily over the next few years. The revenue was partially offset by increased bad debt resulting from lower collection rate at Flatbush Gardens that J.J. mentioned earlier. Commercial revenue was flat in the quarter compared to last year. On the expense side, key year-over-year changes in the quarter were as follows: Property operating expenses increased by $257,000 year-over-year, substantially all of it due to Flatbush Gardens due to its prevailing wage requirements under the Article 11 agreement. We also experienced slightly higher utility costs and legal costs related to collection activities, partially offset by lower repairs and maintenance costs. Real estate taxes and insurance increased by $293,000 in the fourth quarter year-on-year due to routine increases in real estate taxes at properties other than Flatbush Gardens, which had its taxes fully abated in July 2023. Insurance costs for the new fiscal year were flat. Interest expense increased by -- decreased by $80,000 in the fourth quarter year-on-year due to slightly lower rates on our limited amount of variable rate debt. With regard to our balance sheet, we have $19.9 million of unrestricted cash and $18.2 million of restricted cash. In the fourth quarter, we had no new debt activity other than draws under the Dean Street property construction loan we closed in the fourth quarter of 2023. Today, we are announcing a dividend of $0.095 per share for the fourth quarter, the same as last quarter. The dividend will be paid on April 3, 2025, to shareholders of record on March 19, 2025. Let me now turn back the call back over to David for concluding remarks.
David Bistricer: Thank you, Lawrence. We remain focused on efficiently operating our portfolio. We look for our current operating improvements to continue into 2025. Looking forward to optimizing the Flatbush Garden Article 11 transaction, the opening of 953 Dean Street development, finalizing the 141 lease, resolving in 250 vacancy and capitalizing on other possibilities that may present themselves. I would now like to open the line for questions.
Operator: [Operator Instructions] Okay. We currently have no questions in the queue. I'd like to turn the floor back to management for closing remarks.
David Bistricer: Thank you for joining us today. We look forward to speaking with you again soon. Good night.
Operator: Thank you. This concludes the question-and-answer session. Thank you. Ladies and gentlemen, this does conclude the conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.
End of Q&A: